Operator: Greetings, and welcome to the General Mills Third Quarter Fiscal '23 Earnings Q&A Webcast. During the presentation, all participants will be in a listen-only mode. Later, we will conduct a question-and-answer. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, March 23, 2023. It is now my pleasure to turn the conference over to Jeff Siemon. Please go ahead.
Jeff Siemon: Thank you, Tina, and good morning to everyone. Thank you for joining us today for this Q&A session on our third quarter fiscal 2023 results. I hope everyone had time to review the press release, listen to our prepared remarks and view our presentation materials, which were made available this morning on our Investor Relations website. It's important to note that in our Q&A session, we may make forward-looking statements that are based on our current views and assumptions. Please refer to this morning's press release for factors that could impact forward-looking statements and for reconciliations of non-GAAP information, which may be discussed on today's call. I'm here with Jeff Harmening, our Chairman and CEO; Kofi Bruce, our CFO; and Jon Nudi, Group President of our North America Retail segment. Let's go ahead and get to the first question. Tina, can you please get us started?
Operator: [Operator Instructions] First question comes from David Palme of Evercore. One moment please. First question comes from Andrew Lazar of Barclays. Please go ahead.
Andrew Lazar: In Pet, you called out high single-digit takeaway through nine months. And I'm curious what you have is takeaway in fiscal 3Q specifically. And regarding 4Q, I believe you've previously spoken to your expectation for double-digit sales guess, given where we can see consumption trends currently, trying to get a sense of what gives you confidence in that outcome, given it more inventory rebuild to go or a step-up in consumption along with better service or more of a benefit from pricing or some combination of these?
Jeff Harmening: Andrew, this is Jeff, and thanks for the question about Pet. I would say, first, I would say our third quarter sales, was roughly in line with what we thought it would be at 15%. And it is true that we rebuilt some retail inventory. I think importantly, when you look at it, we built about as much inventory back in the third quarter as we lost in the second quarter. And for the year, our inventory and our -- I mean, our sales out and our reported net sales are about the same. So just you know, as we end the third quarter, we don't have a big retail inventory build they really are about the same. I would also say, and this may sound like a little bit of a spin, but I'm actually glad that we could rebuild some inventory in the third quarter. We didn't think we're going to be able to. But because our supply chain got better pretty quickly in the third quarter, our service levels got to 90% or so. Especially in dry dog food as well into the 90s. Because that happened, we were able to rebuild our inventory. Our customers are glad. Our retail customers are glad we're back in business. And so we shipped some inventory from promotions and so forth. So we're pretty pleased with the pet business, and there's more work to do. For sure, there's more work to do, but it was a good quarter in terms of the ability to rebuild some inventory. The other thing I would say, a couple of more points. I think when you look deeper into our third quarter and retail movement, what you'll see is that our dry dog food business really performed quite well and Life Protection Formula continued to accelerate and was up 23% in dollar terms, but also 9% in pounds. And so we're feeling really good about our dry dog food business, which is good because that's one we thought we'd recover the fastest followed by treats and then wet. And that seems to be the case. The other thing I'd point out about retail movement is that our third quarter last year in Pet was very, very strong. And so, as you look at the comparisons, we actually sold more dog food and pet food in Q3 than we did in Q2, both in terms of pounds and RNS. So, it sequentially got better even if the comparisons don't look that great to Q3 in retail movement. And so as we said before, we'll grow double digits in the back half of the year, and we certainly did that in the third quarter, and we'll see what the fourth quarter brings.
Andrew Lazar: Okay. And then just a quick follow-up. You mentioned mid-single-digit inflation expected for fiscal '24. I'm curious if you think the carryover benefit from pricing already implemented and in place would be enough along with productivity to handle this? Or perhaps would other actions maybe be necessary, at least based on what we can see today. Admittedly, it's dynamic.
Kofi Bruce: Yes. No, I appreciate the question. We don't want to get too far ahead here of our expectations. I will tell you, as we always do, we'll approach the fiscal year with an eye towards leveraging first, the productivity we get through our HMM cost savings programs. And to the extent that there is additional margin that we need to protect, we'll use the other levers we have up to and including SRM. But I think we're not going to say much more at this point about fiscal '24.
Operator: The next question comes from Steve Powers of Deutsche Bank.
Steve Powers: Great. Maybe a follow-up on Andrew's Pet question. It sounds like on the -- from a retail perspective, you think any of the sort of the deceleration we've seen is more a product of year-over-year comparisons. But I guess, I guess when we cut in the data, it looks as though there is a deceleration and maybe a deceleration in General Mills' market share performance as well as just year-over-year growth. So how are you thinking about that? And to the extent that you are seeing some slowdown in takeaway relative to the overall category, is that a byproduct more of ongoing supply constraints that should improve with time? Or is it maybe more of a byproduct of category dynamics and some degree of demand softening and then trade down in the category?
Jeff Harmening: Yes. No, I appreciate the follow-up question about Pet. I would say, first, it's not about dynamics in the category. I mean the trend towards humanization is quite strong and remains quite strong. And so, we really don't see a lot of trade down to private label, for example, or lower-priced brands. I mean it really is a function if there's a change in the category dynamics is that more people are going back to the office, and so mobility is a little bit higher. And so there's a little bit of feeding of wet dog food, for example, and more dry dog food and maybe a little bit less treating because people, again, are at their place of work more. So, we see a little bit of that in the dynamic. So as we look at the category, I mean, we were -- our pounds were down 2% or so and what we can read in the category and the pounds in the category are down flat. So we're trailing -- we're still trailing the categories, so we still have some more work to do. But it certainly is not as big as a delta as it had been before. And so as we look ahead, one of the things we said is that we were pleased to see Life Protection Formula do so well, which tells us that the Blue brand is really good. And so we're pleased with that. And so the first key is to get service levels up, and we've done that on dry dog food. The next is to turn our advertising and marketing back on. And again, we've done that in dry dog food, and we've seen the results. Now, there service level is getting better on treats, now it's really time to activate our marketing on treats, and we would think that, that would get better over time. And then the probably the last to come along will be wet pet food, which is a combination of our service levels still only being in the 80s as well as a pet parent behavior and mobility. So, that's kind of the order of things. And I guess I would characterize our pet businesses, we feel good that we have improved and yet we know that we have more work to do in several of our areas.
Steve Powers: Okay. Great. And maybe shifting gears a bit. Just want to ask around how you're thinking about elasticity. I know in the in what you put out this morning, you talked about expectations for little change in elasticity through the end of fiscal '23. I guess just maybe a little bit more on the puts and takes you're seeing there? And what I'm really curious about is, how you think all of different accelerate strategy points of focus -- may help your portfolio hold up to the extent that we see more broad-based consumer slowing over the course of the calendar year. Just how you're thinking about those dynamics and your specific positioning should the consumer weaken as we progress forward?
Jeff Harmening: Let me take that at a top level, and then I'll probably pass it to Jon -- maybe give a couple of examples about NAR. Yes, I would say for the rest of our fiscal year, I mean, we're seeing little change in elasticities. And we have seen consumption of food at home remains stable over this past year despite all the volatility and puts and takes and theories. I mean the consumer seems to be reasonably robust. And at the same time, they're eating at home more than they were during pre-pandemic. And so, we see a continuation of that. I will say there are a couple of things. One private label exposure in our categories around the world is lower than what you see on the average. And I think that's a benefit to us. The other thing is that we've been investing. We've been investing in marketing. And so you see, over the last four years, our compound annual rate of growth and marketing spending is up, I think, about 4% or 5%. And if you look at this year, our marketing spending is double digits. And so, it's not an accident that our brands -- we had strong brands to begin with, but we also know that brands are kind of organic in nature, if you will, and that you need to keep them growing. And so, we've invested in marketing spending as well as capabilities. And we continue to do that through the third quarter of this year. And so is not really an accident that private label is lower in our categories, and I think it pretends well for our future because even during the last recession, what we found is that even though private label gained a little share back in 2008 to 2010, we were able to hold -- we were able to hold market share due to our brands, thanks and our investments in consumer spending. But Jon, do you want to talk a little bit about NAR.
Jon Nudi: Yes. So just building on what Jeff talked about. So as part of Accelerate, and Jeff touched on this, capabilities is something that we're very focused on. And one of those capabilities is strategic revenue management. So we've probably been at that one the longest five or six years now and feel really good about the capabilities that we've built. So we leverage the entire toolbox. So obviously, with the inflation we've seen this past year, we've taken list price increases, focus on a lot on promotional optimization. So if you look at what's happening in the market, frequencies coming back from a trade standpoint as we get healthier from a service standpoint, but price points were up double digits across our categories. And again, getting smart about how we look at pricing, not only at list price but also from a promotional standpoint as well. We look at price architecture and mix as well. So we are much more sophisticated today than we were even a few years ago. And I think that's helping us to make the right moves in market, which is helping with the elasticities as well. So it's something we'll stay focused on. And as Jeff mentioned, if we do run into a recessionary period, historically, we've held up pretty well. Obviously, private label does well during that period. But we've held our own and hold share relatively flat. It's really the third and fourth tier players in categories that seem to get hit the hardest from a share staple.
Operator: The next question comes from Ken Goldman of JPMorgan. Please go ahead.
Ken Goldman: One quick follow-up on Pet and then I had one on North American retail, if I could. Is there any way to roughly quantify how much maybe the gap between shipments and consumption or maybe the trade load however you want to put it, kind of helped company margins or segment margins during the quarter. And Pet, I realize there's back and forth and things have gone around quarter-to-quarter. So I'm just curious if we get a little bit of quantification around that, if possible?
Jeff Harmening: It's really difficult to quantify, Ken, this is Jeff. It's really difficult to quantify what's going -- the contribution of inventory rebuild with margin for Pet in the third quarter. I would say, but there are a couple of things. First of all, I would say our margin in Pet was roughly in line with what we thought it would be. And the fact that our profitability decline in Pet was not a surprise to us and is really based on a couple of factors. One is -- and by the way, even though our margin actually did improve slightly from the second quarter. The factor is really contributing to the fact that our profit decline in the third quarter in Pet was that we did see significant inflation and we did see a lot of costs coming in due to capacity expansion as well as some external sourcing. And so, these are things we expected. The other thing I would point to is that when we saw Life Protection Formula really doing well behind our marketing efforts in the second quarter, we decided to spend more against it in the third quarter. And that's paying dividends as our Life Protection Formula has continued to accelerate, but it does mean our marketing spending had a negative impact on the P&L in the third quarter over the although it's clear over the long run -- that this is such a good idea. So, I want you to know that when it comes to Pet, the margins that we saw in the third quarter are very much in line with what we thought even if it's difficult to quantify the impact of margin rebuild. It's just our service is getting better, which I think is a positive.
Ken Goldman: Got it. But if I'm reading between the lines, it doesn't sound like it was a major impact if the margin came in somewhat close to what you thought. Is that correct?
Jeff Harmening: That is correct. It's not a major impact, Ken. And I would also say, you didn't ask this, but I guess a bonus answer would be that in our fourth quarter, we actually -- we expect that our profitability will be up in our fourth quarter as we see our pricing that took place at the end of the quarter come into effect as we see a little bit easing on inflation, we see the service getting better. And so the drags that we see less on, we see a little bit more pricing and so we would anticipate that in Q4, our profitability will be up in Pet.
Ken Goldman: And just to clarify, is that dollars margin, both?
Jeff Harmening: Both.
Ken Goldman: Both perfect. Yes. I'll let it go there.
Jeff Harmening: You have a question about NAR? I'm sorry.
Operator: The next question comes from Alexia Howard of Bernstein. Please go ahead.
Alexia Howard: Two questions. Can I ask about marketing spending to begin with? I know that you said it was up mid-single digits, I think, 4% to 5% over the last few years and up double digits, I believe, this year. Do you anticipate that the sort of strong level of marketing reinvestment or increase as a percent of sales is going to continue? And then linked to that, promotional activity, are you seeing any changes there? Is it sort of steady Eddie because obviously, that's come in or down quite a bit since the pandemic began. Do you anticipate not a big resurgence, as I think you've said before on the promotional side?
Jeff Harmening: Yes, I would say -- Alexia this is Jeff. I'll answer the first part of that question, and maybe Jon Nudi can give any insights on the second. I would say, in general, what we -- in general, what we would expect is that marketing spending growth would be roughly in line with sales growth. And we've seen last year, we've seen so much inflation on the food -- the cost of ingredient side. Our marketing spending has grown 4% or so, but it hasn't kept up with the sales growth. That's because we saw so much food inflation. But it actually has kept up more than kept up with pound growth. And the same is true this year, we're seeing double-digit increase in marketing spend. But over time, we -- our goal would be to increase our marketing spend roughly in line with our sales growth. So Jon, do you want to take the second part of the question?
Jon Nudi: From a merger standpoint. So if you look at versus pre-pandemic levels, merchant our categories is still down double digits. I will say you're seeing frequency this past year increased high single digits. And that's really driven by the fact that we're getting back into merchandising in some categories that we couldn't support from a service standpoint over the last few years. At the same time, you're seeing merch price points up double digits across our categories as well. So again, as all of us are dealing with inflation and leveraging our SRM capabilities, we're raising the floor on many of our merged promotions. So, as we move forward, service is still not back to historical levels. So, we don't expect there to be significant inventory to be getting aggressive from a pricing standpoint. And obviously, everyone in the industry is dealing with increased costs and inflation as well. So, we expect to continue to make sure that we're rational from a merchandising standpoint as we move forward.
Operator: The next question comes from John Baumgartner of Mizuho. Please go ahead.
John Baumgartner: I wanted to come back to Steve's question, I think, on U.S. retail. The elasticity still favorable, but that elasticity alone sort of masks the underlying percentage volume declines from this pricing? And that's an industry issue, not just mills. But since food at home is not losing share to away from home, I mean you also think, I guess, once consumers normalize to these new prices, volume declines should also moderate independent of recession. So I'm curious, Jeff, for John, absent a bounce from recession, how you're thinking about that path to volume normalization? And then just given your brand-building innovation, do you think the portfolio's volume plus mix can grow reliably with population over time? Do you aspire to ahead of population growth? Just what's the expectation for that normalized performance at the portfolio level where you sit right now?
Jeff Harmening: Let me start this is Jeff. Let me start with the end in mind. And the end is that we think absent the current inflation environment we see, which, by the way, we don't think is going away anytime soon as we talk about mid-single-digit inflation in our next fiscal year. But absent a heightened inflationary environment we would expect our portfolio -- our exposure to growth to be in the 2% to 3% range, so call it 2.5% range. And that's what we talked a little bit about at CAGNY. And that would imply some level of volume growth as well as some level of pricing growth, a mix of those two, which would, of course, fluctuate based on what happens in any particular year. But we would think once we get back to a normal environment, which we don't see coming actually in the next 12 months. But in a normal environment, we would see some level of pound growth and some level, a little bit of pricing as dictated by the growth in our categories. And then you have another deeper question about recession versus non-recession. I'm not really sure how to go about all of that other than to say that what we do see is mid-single-digit inflation coming in the next 12 months.
John Baumgartner: I guess just thinking about the depth of the volume decline, and it feels like you're not seeing a shift out-of-home channel. So it feels like it's more to be just more left over consumption at home. I mean do you sense that consumers are getting close to normalizing to the new prices on shelf and that should just over the next couple of months sort of roll off with less deep volume declines going forward at this point in terms of the adjustment process for the consumer?
Jon Nudi: Yes, John. So obviously, volumes are down for NAR. And as we look at that, we expect, frankly, with the amount of pricing that we've taken, historical elasticities would suggest much bigger declines. So again, we feel comfortable with where we are. That being said, as we pivot into fiscal '24, we want to get back to growing not only dollars but growing pound volume as well. And it's going to be really all about the fundamentals. And as Jeff mentioned, we're investing in marketing. We feel really good about our marketing on our major brands. Innovation is something that we haven't pulled back on through the pandemic, and we'll continue to press the advantage there. And we think that we've got some great items coming in the coming year. And the capabilities that we're investing in from an accelerated standpoint are really helping as well. I mentioned that around -- in addition to that, digital marketing is something that's very exciting right now in terms of the ability to really have one-to-one relationships and target consumers and over 50% of our marketing now across NAR is digital, and that will continue to increase. So, it will be back to the fundamentals, and we feel really good about our ability to compete in that role as we move forward.
Operator: The next question comes from Chris Carey of Wells Fargo. Please go ahead.
Chris Carey: So just a couple of quick questions around inflation. Just on the mid-single-digit inflation. You noted in the prepared remarks that, that is split between labor and conversion costs primarily. I wonder if you could just aggregate that. And then, what are you seeing from a commodity standpoint within that mid-single-digit equation?
Kofi Bruce: Yes. I appreciate the question. So I won't decomp it very deeply other than to tell you that what we're tracking is some of the headline commodity numbers have been obviously coming off of their peaks. Part of the reason we're giving this expectation is because embedded within the inflation expectations for our total input cost a fair amount of conversion cost behind some of we're not taking in just raw commodities. So as we think about the impact of continued labor pressure, energy costs, those and other conversion costs that go into taking raw materials, creating value-added inputs that go into our products. That's what's driving the inflation. So, I think the key here is it probably is an overread to look just at the commodity softening on some of the key commodities and assume that there's going to be a more benign inflationary environment. So we'll give you a decomp and a little bit deeper dive when we come back in Q4 and provide guidance for the next year.
Chris Carey: Okay. That's helpful. One quick follow-up. On the last earnings call, I believe there was a question just around whether the non-commodity pieces of the equation were appropriate buckets to come to retailers with an inflation story, right? And so this mid-single-digit inflation, are these the types of a typical inflation drivers that typically, you would be able to come to a retailer with the pricing story. I appreciate HMM and other offsets are going to be important, including revenue growth there of SRM. But just in the context of this total inflation idea that we're hearing across the space right now, is that really sticking with the retailer? I just wonder if you could provide any context on that.
Kofi Bruce: Yes. I'll talk broadly for the enterprise. And Jon, if you want to jump in and provide some specific perspective from NAR, and we can do that. Broadly, we look at the entire basket of our input cost. So that includes manufacturing, sourcing and freight. So as we think about the combination of those three things, that's generally or we go and we talk to retailers about the total input cost basket. What's probably not included in that we have talked about in past earnings calls is the other costs to serve in this environment. Some of the added pressures that come from supply chain disruptions, some of the short-term decisions we've had to make wrong product changes and external supply chain that have allowed us to service in a disrupted environment. Those things probably a little bit harder to include in the conversation.
Jon Nudi: I would just say, as we talk to retailers, we're focused on multiple things. I mean, focused on supply chain. So again, we're still short order. We've been historically in the 98% to 99% service level. So, we certainly better than where we were a year ago, that continues to be a focus and something we spend a lot of time talking about. And then it is about growth. And again, obviously, dollars have grown strongly. I think all of us want to get back to not only growing dollars but also growing units as well, and that's something that we stay very focused on. In terms of SRM and whether what levers we pull into the coming year, we pull extra levers every year regardless of inflation. And as we see inflation next year, we'll continue to leverage SRM. And obviously, our retailers are being impacted by inflation as well. So, we'll see how the year unfolds. At this time last year, we certainly didn't envision the number of moves that we've taken this year. One of the things we're really proud of is the way that we've reorganized over the last few years as an enterprise, we're much more agile. So, we feel really good about being able to deal with what comes our way, and we'll have any appropriate conversations with retailers if we get to that point.
Chris Carey: Perfect. Thank you for the perspective.
Operator: The next question comes from Bryan Spillane of Bank of America.
Bryan Spillane: Just two for me. One, what is just SG&A in the quarter was up pretty meaningfully, just in absolute dollars, and I understand there's a pretty strong marketing component. Can you just maybe copy, give us a little more insight in terms of outside of marketing or advertising, just what else is driving SG&A and I don't know, it's just sort of the level we should be looking at as we model the fourth quarter? So just some perspective there and then I have a follow-up.
Kofi Bruce: Yes. So let me -- you're absolutely right. In the third quarter, media was a big driver. It was up strong double digits. We expect it to actually be a driver of SG&A as we head in the fourth quarter as we've been turning marketing back on, on Pet, putting additional spending on key platforms. And as a reminder, I think it's important as we were coming out of a period where five years, six years earlier, we had pretty much depleted pretty significantly the amount of marketing spending. So we've been sort of investing through this cycle to ensure that we have appropriate support behind strong marketing ideas. I think the rest of it outside of marketing spending, we have seen some increase in admin primarily related to comp and benefits as we've seen our performance improve. Obviously, that increases our incentive accrual. We've seen some increase related to charitable contributions. Those have been kind of the big non-marketing spend drivers as we look at the quarter.
Bryan Spillane: Okay. And those seem like they're more transitory, meaning we shouldn't see an absolute dollar levels, probably not the same level of SG&A in the fourth quarter that we saw in the third quarter?
Kofi Bruce: I think that is generally fair.
Bryan Spillane: Okay. All right. Cool. And then second question just on food service. And maybe, Jeff, if you can just kind of give us a perspective on kind of where that business stands now? You took the convenience piece out of it. It looks like food sales are coming back even if you strip out the benefit of Flower milling. So can you kind of give us a perspective on kind of where you see that business today in terms of where you kind of envision it going forward now that it's really focused on food service? And also just a comment on profitability, the margins, again, kind of back into the mid-teens level, it used to be kind of a higher-margin business pre-COVID just trying to get a sense of like -- is this early innings in terms of kind of what you envision for what this business could be like, both from a revenue and a profitability standpoint?
Jeff Harmening: Yes. So on Food service, you're right, we took convenience stores out of our food service business and put them in North America retail, and that's been going very well. Really pleased to see that combination of businesses in North America retail. At the same time, we also expanded our food service business to not only be just U.S.-focused but North America focused. And we're really pleased with that, too, because we have a lot of customers that operate across North America. So we're really pleased how we're executing the convenience piece in NAR but also adding food service and to make it North America Food service was also meaningful for us. I'm really thrilled to see the momentum that we have in this business. As you can imagine, with fewer people eating in restaurants, it was a little bit tougher for our food service for a number of months. But we've got a strong K-12 school business that has served us very well. We continue to gain share in many of our categories across food service. And as we look, as you can see, it's back to pretty strong growth now. Last year was a tough third quarter. So, the comparisons in the third quarter are easy. And yet, in aggregate, we have really good momentum in our food service business. And so what I believe is that our food service business can continue to be an accelerator of top line growth, but also continuing to expand margins. When you talk about the profitability, they were hit particularly hard on the profit side. And I think it's fair to say that we're still in the early innings on driving back margin growth into our food service business, and we're confident that we can and we're also confident that we need to. And so we'll continue to drive margin growth as we still grow our top line sales growth. So we think we can do both of those at the same time in food service and are pleased with the momentum that we've regained in there.
Operator: Thank you. At this time, I'd like to turn the call back over to our speakers for any closing remarks.
Jeff Siemon: Okay. Thanks, everyone. I think that's all the time we have this morning, but I really appreciate the good engagement. And we will obviously be available throughout the day for follow-ups. Otherwise, we'll look forward to seeing you over the spring. Thanks again.
Operator: Thank you. This does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you, and have a good day.